Operator: Ladies and gentlemen, everyone, thank you for taking time out of your busy schedule to watch the Yamaha Motor Company's Third Quarter Earnings Presentation for the Fiscal Year Ending December 2024. I'm your moderator today. I'm from the Corporate Communications Department. My name is Kurabe. Before going into today's agenda, please let me introduce who is present today. Shitara Motofumi, Executive Vice President and Representative Director. Today, after giving you an outline of our business results, he will provide details by business segment. After the presentation, there will be a Q&A session for analysts and media via Zoom. The business results presentation materials can be found on the Yamaha Motor Corporate website. Now we'd like to begin the business results presentation.
Motofumi Shitara: Thank you. As you just heard, my name is Shitara from Yamaha Motor. Thank you very much for taking time out of your busy schedule to attend Yamaha Motor's earning presentation today. We'd also like to thank you for your continued understanding and support of our business activities. Now I would like to give you an outline of our business results. First, let me introduce the key points of the third quarter business results. Please turn to page 4. To summarize our third quarter business results, year-on-year, our revenue increased, while our operating income was about the same as the previous year. In the Motorcycle business, increased shipments of premium segment models in emerging economies led to higher revenues and profits. In the Marine business, for inventory optimization, we conducted production adjustments. Lower outboard motor shipments led to revenues and profits falling. In the Robotics business, thanks to generative AI-related demand increasing in semiconductor manufacturing post-processing equipment, sales increased, narrowing the deficit. Regarding our future outlook, turning to the external environment, the U.S. is cutting interest rates, and rising prices seem to be settling down for the time being. While based on each country's monetary policy, in foreign exchange trends, for example the situation remains unclear. Although the situation differs by segment, competitors have improved supply, and demand is down, so the severe competitive environment is expected to continue. In addition, ocean freight rates, raw material, and labor costs, and other expenses show a rising trend. Appropriate cost control is called for. In our businesses, motorcycle sales remain strong, but the RV and SPV businesses due to inventory adjustments, expect to see continued production reductions. In the Marine business, outboard motors and water vehicles saw weaker demand than expected, and inventory adjustments continue. In the Robotics business, in the second half, demand recovery was expected, but it turns out it was slower than expected. Today, we are announcing a downward revision of our full year earnings forecast for the fiscal year ending December 2024 in our new medium term management plan, next year is year one. Looking ahead to next fiscal year in both RV and SPV businesses where losses continue through, for example, inventory reduction, by dealing with issues this fiscal year so we can make a fresh start next fiscal year. We are currently engaging in business structure review. In addition to well-balanced cost control and production efficiency improvements, investments for growth will be firmly implemented. Our dividend forecast remains unchanged. Next, unit sales and inventory levels. Please turn to Page 5. The table on the left shows our unit sales by main products compared to 2023 actuals. Strong demand continues in Brazil, and India and Indonesia, where premium model supply stabilized. Mainly in these countries, unit sales increased. Also, in Europe, U.S. and Vietnam, unit sales have increased. In outboard motors, to optimize inventories, we adjusted production, leading to reduced unit sales. In ATV/ROV due to demand deceleration and competitors' price aggression, and in SPV, the bicycle market as a whole continues to see excess inventory, and our company's unit sales have also decreased. In mounters, unit sales to Asia increased, doing better than the previous year. The graph on the right compares market inventory with appropriate levels. Demand continues to fall in Thailand and China where further production adjustments are planned. The competitive environment is tough in the Philippines where inventories have switched to an increasing trend. But targeting the peak demand period December, we will strengthen our sales promotion. Regarding outboard motors and ATV/ROV targeting optimal inventory levels, we are steadily reducing inventory. Next, our third quarter quarter management figures. Please turn to Page 6. Regarding our third quarer business results, revenue was 108% versus the previous year at ¥1.9769 trillion. Operating income was 101% of the previous year at ¥201 billion. Operating income ratio was down 0.7 points from the previous year at 10.2%. Net income attributable to owners of the parent was 95% of the previous year at ¥136.1 billion. EPS was 98% of the previous year at ¥138.49. Thanks to the motorcycle business's strong performance and weak yen, revenue increased, but operating income due to lower sales was about the same as the previous year. And at the end of the third quarter, the yen appreciated, leading to re-evaluation of receivables, and local currency basis borrowings increased, leading to higher interest expenses resulting in net income falling from the previous year. The real rate of exchange were ¥151 to the US dollar and ¥165 yen to the euro. Next, operating income change factors. Please turn to Page 7. As you can see, the sales effect is negative ¥23.8 billion. The breakdown is price increase impact plus rebates gives you pricing, positive ¥5.1 billion. Unrealized profits, ¥48.8 billion. Financial services, plus the ¥3.8 billion, scale effects, plus ¥2.1 billion, and others, negative ¥83.6 billion. Net cost impact was positive ¥2.9 billion. The breakdown, cost reductions, positive ¥11.3 billion. Cost raises, negative ¥8.3 billion. And growth strategy expenses increasing led to negative ¥4.1 billion. SG&A expenses increasing negative ¥23.4 billion. Others including equity and earnings and losses of affiliates, plus ¥8.6 billion. Foreign exchange effects, positive ¥41.3 billion. Next, the outlook for fiscal year 2024. Please turn to Page 8. Market conditions getting worse, plus mainly in the SPV business, inventory write offs targeting next fiscal year to make a new start, we are now reviewing our business structure. Taking these into account regarding our 2024 full year forecast, we have made downward revisions for income. Revenue ¥2.6 trillion. Operating income ¥235 billion. Operating income ratio 9%. Net income attributable to owners of the parent ¥160 billion. EPS ¥163.04 yen is forecast. These are based on exchange rates of ¥150 to the US dollar and ¥164 to the euro. Our annual dividend forecast remains unchanged from the original forecast. Next, looking at the progress on medium to long term measures. Please turn to Page 9. A new personnel system will be introduced from January 2025. The points about the new personnel system are as shown. It has been designed to expand the careers of employees and encourage them to take on challenges and create outcomes. We want each individual employee to find their challenge that they can take on board, which will link to our aim of being a candle-creating company. In terms of our carbon neutrality initiatives and with regard to the shift to EV, we will be collaborating with participating as a partner with Caterham in their new EV sports coupe development project. Yamaha Motor is developing our own e-axle, which will be a main part of the EV powertrain, and we'll be supplying those parts into the prototype vehicle. Additionally, we will be selling a new electric wheelchair unit. We will leverage our strengths to develop for electrification. Next, I would like to present details by business segment. First, the quarter three revenue and operating income by business. Please turn to Page 11. In Land Mobility, Motorcycles, and Financial Services, as well as the other products, saw sales and profit increase. In Robotics, although revenue grew, operating income was on a par with the prior year. On the other hand, in marine, as well as RV and SPV businesses in Land Mobility, there was a reduction in both revenue and profit. Here's the forecast by business for the year. Please turn to Page 12. In line with the review in revenue and operating income for the business units, the whole year forecast has been amended. For the strongly performing motorcycle and financial services businesses, revenue and profit are forecasted to rise, which is also our forecast for the marine business. For the Robotics business and others, revenue is forecasted to go up, and profit reduce. For RV and SPV businesses, revenue and profit are forecasted to fall. Here are further details by business. Please turn to Page 13. First, our core businesses. On the left is motorcycle business. Although demand in the main developed countries has softened, in emerging countries, continuing on from the first half year, demand increased in Brazil, India, and Indonesia. For Yamaha Motor, in developed countries in American Europe and in emerging countries, the three countries mentioned earlier with strong demand, were the main areas where our sales grew. Also, with the strong sales of premium models, revenue and profits rose. For quarter four onwards, Brazil, India, and Indonesia will lead the way to our forecast, exceeding our original numbers. Next, on the right is the marine business. For outboard motors, with the reduction in total demand, our sales of less than 300 brake horsepower models reduced. Our annual revenue is expected to be below original forecast. However, we have strong inquiries for the new 350 brake horsepower model launched this year, and we expect to see stable demand continue. In terms of operating income, although we expect this to fall due to reduced volumes in line with inventory adjustments, Due to the recovery of unrealized margin, the operating income ratio was the same as prior year. Going forward, demand for outboard motors in the main market of the U.S. is expected to gradually recover supported by the economy with reducing interest rates. In line with the recovery in demand, we will continue to work to hold appropriate levels of inventory. I'd like to introduce a new motorcycle product. Please turn to Page 14. This is the new supersports YZF-R9 launched in October. This is planned to be launched as a 2025 model in North America, Europe, and other countries. The YZF-R9 is great on circuits as well as public roads. It's been developed with the concept of delivering ultimate performance and is the first 900cc class supersports model for Yamaha motor. The styling carries the legacy of Yamaha supersports with enhanced aerodynamics for new functional beauty for the experience of the unity of man and machine. This model will offer a great fun riding experience to many riders. In Japan, the model will be launched in spring 2025. Please do look forward to its release. Next, the RV and Financial Services businesses. Please turn to Page 15. On the left is the RV business. With rising levels of market inventory, price competition is becoming more fierce. Our competitors are conducting sales promotions and launching new models. They are aggressively selling, and our sales fell. Also, worsening model mix as well as an increase in SG&A costs resulted in reduced revenue and profit. We expect the aggressively competitive environment to continue and forecast that incentives to sell will also rise. We've considered the impact of further production reductions and forecast a significant rise in losses over the whole year. As I mentioned earlier, we have already begun the review of the structure of this business ahead of the next fiscal year. Next, on the right is the Financial Services business. In line with the rise in sales volume, receivables have increased centered on North America. In addition, an increase in interest income and improvements in spread have resulted in revenue and profit rising. In this fiscal year, these trends will continue, and we expect the whole year forecast to exceed our original expectation. Finally, the growth businesses of SPV Business and Robotics. Please take a look at Page 16. On the left is the SPV business. The sales volume of domestic power-assisted cycles exceeded the prior year. On the other hand, in the main market of Europe, inventory adjustments have continued and the sale of e-kits has reduced on prior year. And in Q3, North American CBU inventory valuation write-downs have been booked, resulting in reduction in revenue and profit. Going forward, no major demand changes are expected. And to reduce market inventory as well as additional sales promotion costs for the whole year, the losses are forecasted to rise. Next on the right is the robotics business. Increased sales of semiconductor post-processing equipment for generative AI and advanced packages, as well as the gradual recovery in sales of mounters, has resulted in a rise in revenue. In terms of operating income losses with increase in SG&A costs such as manufacturing and development expenses, those losses are of a similar level to prior year. For the whole year forecast, the recovery of demand in the Chinese market is softer than anticipated and is expected to fall below our original forecast. That ends the briefing for the quarter three results for the fiscal year ending December 2024. Thank you for your attention.
End of Q&A: